Perry Grueber: Thank you, Liya. Good morning, everyone. Thank you for joining us for the Wausau Paper second quarter 2008 analyst and investor call. I am pleased to be here today with Tom Howatt, President and Chief Executive Officer of Wausau Paper and Scott Doescher, our Chief Financial Officer. I would also like to welcome Dan Trettin, our Senior Vice President of Printing and Writing. This morning we will be discussing Wausau Paper second quarter financial results, which we announced yesterday afternoon. Tom will provide a few opening remarks relating to the performance of the corporation and initiatives in each of the three business units. Then we will ask Dan to provide commentary on the progress Printing and Writing is making against its profit recovery plan and uncoated free sheet market conditions in general. Scott will then provide a summary of financial review and touch on often asked for data points. Tom will then conclude our prepared remarks with a review of our outlook for the third quarter of 2008, after which we would be happy to address any questions you might have. As usual, I would like to inform you that statements made during this conference call, other than those that refer to past events and results are forward-looking statements made pursuant to the Safe Harbor provisions of the Securities Reform Act of 1995. Such statements including those relating to expectations concerning earnings and price increases involve risks and uncertainties that may cause results to differ materially from those set forth during this discussion. Among other things, this risks and uncertainties include the risks and assumptions described in Item 1A and Item 7 of the company’s Form 10-K for the year ended December 31, 2007. The company assumes no obligation to update or supplement forward-looking statements that become untrue because of subsequent events. Now over to Mr. Tom Howatt.
Thomas Howatt: Hi, good morning. Second quarter results for Wausau Paper were reflective of the broadly weakening domestic economy and generally difficult demand characteristics that each of the company business segments faces. Away-from-home tissue market demand was essentially flat over the first half of the year, while uncoated free sheet volume was reported to have declined by more than 7%. While public industries are generally available for Specialty Products markets it is our business that most significantly impacted by economic cycles. Demand in core markets such as release liners and tape has been falling substantially under recessionary or near recessionary business conditions. Second quarter results also reflect this years’ surge in energy costs unprecedented levels with dramatic impact on freight, chemicals, boiler fuel and other input costs, while these cost increases are pressured margins in the short-term. Our continued focus on strategic markets coupled with actions we have taken over the last several quarters to address underperforming areas of the business, have set the tone for significantly improved future results. The move away from commoditized grades in Specialty and Printing and Writing, combined with industry capacity closures, has resulted in solid pricing leverage in some markets with customers becoming more concerned about lining with well positioned suppliers like Wausau Paper to ensure reliable supply. While the benefits of our strategic initiatives have been masked by economic weakness and cost pressures, our confidence in our strategy has reflected in our outlook for much improved third quarter earnings over second quarter levels with a potential for each of our three businesses to be profitable during the quarter. For example, margins at our Towel and Tissue business increased from first quarter level to nearly 10% in the second quarter, despite unrelenting increases in wastepaper, freight and parent rolls cost. We expect our third quarter price increase and the rebuild of our toweling machine at Middletown delivered improvement in operating margins over the next several quarters. At Specialty Products, our growing presence in the higher margin food service and food packaging markets coupled with reduced exposure to the commoditized segments of the release liner market will drive margin gains as the economy improves. Printing and Writing, will continue executing our profit recovery plan with a goal of achieving cost-of-capital returns by the end of 2009. The initial phase of Printing and Writing’s recovery plan saw capacity reduction well executed by the business and has delivered the desired mix up upgrade with the elimination of commodity grades and much improved pricing for the balance of our portfolio. We are on track to achieve breakeven results for the third quarter of this year as expected, and Dan Trettin is here today to comment further.
Dan Trettin: Thank you, Tom. It’s a pleasure to be with you this morning. I will cover highlights of Printing & Writing’s financial performance for the quarter and then provide some additional detail on success we are having related to our profit recovery plan initiated last year. Second quarter shipments up 66,000 tons were 29% below prior year levels. The result of anticipated volume reductions associated with Groveton mill closure. Net sales were $95.6 million compared with a $114.2 million last year, while average selling price improved 19% reflecting the significant product mix improvement and price increases achieved in recent months. Input costs continued to climb with second quarter fiber and energy cost increasing $7.5 million as compared with last year. Printing and Writing recorded an operating loss excluding Groveton closure charges of $2.8 million as compared to $2.3 million last year and $4.9 million in the first quarter. The $2.1 million sequential improvement reflects progress made with our profit recovery plan and was achieved despite the execution of annual maintenance outages at both mills in the quarter. As you may remember, we announced the three-part profit recovery plan last October. The three elements of that plan were to minimize our exposure to the commodity segments of the uncoated free sheet market, bring singular focus to our core products and brands and systematically infuse capital into our ongoing manufacturing system, to enhance operational efficiency and improve the profitability of these assets. In December, we closed Groveton, a high cost facility thereby reducing our paper making capacity by 28%. Now properly sized relative to our markets, we selectively exited a substantial volume of non-core lower margin business that was detrimentally affecting profitability. The second part of our recovery continues today. Our sales and marketing teams are enhancing margin contribution from our premium brands such as Astrobrights, Royal and Exact to enhance brand development and customer segmentation. Market response to-date has been favorable and supportive of our efforts to refocus our business around recognized core competencies. We are particularly encouraged by the improved pricing environment for uncoated free sheet papers, even though the industry demand across the entire spectrum of grades has declined. One data source reports North American shipments declining 8% to the first five months of 2008. Currently, beginning the historically strongest quarter of the year, we remain confident in our earlier guidance of achieving profitability for the third quarter of 2008. The first initiative related to the investment phase of our profit recovery plan is the Brokaw dry fiber handling project. The anticipated returns of this project well exceed the corporations’ capital return threshold. This investment will reduce cost and improve both efficiency and safety at the mill. As you know, the goal of the profit recovery plan is returning this business to earning its cost to capital by the end of 2009. We remain confident in our ability to do so. I appreciate the opportunity to share a few comments with you. We will be more than happy to address specific questions during the question-and-answer session. Scott Doescher will now continue our presentation with a corporate financial review.
Scott Doescher: Thank you, Dan. During the second quarter, we reported a gross profit of $21.8 million or 7% of net sales, compared to a gross profit of $32 million or 10% of net sales last year. Included in current quarter cost of sales were $1.2 million of charges related to closure of the Groveton mill and roll wrap operations in Columbus, Wisconsin and Jackson Mississippi. Profit margins remained under pressure from escalating input costs as year-over-year fiber prices increased more than $14 million including market pulp price increases of $8.8 million or 13%. Purchase Towel & Tissue parent roll price increases of $3.1 million or 17% and wastepaper price increases of $1.6 million or 30%. In addition, year-over-year energy prices increased $7 million driven by a $2.4 million or 43% increase in natural gas, a $2.6 million or doubling the fuel surcharges on outbound transportation and an $800,000 or 50% increase in fuel oil costs. The second quarter included $13.8 million of pre-tax charges related to the December 2007 closure of the Groveton mill with $1.1 million reflected in cost of sales and $12.7 million as a restructuring line item. The restructuring charges can be largely attributed to expenses associated with utility agreements at the now closed facility. Additional pre-tax closure charges of approximately $2.1 million are expected over the balance of 2008. In December we also sold Specialty Products' roll wrap business and committed to the closure of our Columbus and Jackson facilities. Those closures occurred in early July after all obligations under a transition services agreement were satisfied. As a result, the second quarter included a pre-tax charge of $100,000 as a restructuring line item. Additional pre-tax charges of approximately $100,000 are expected over the balance of 2008. As a percentage of sales second quarter SG&A expenses, net of restructuring charges were 7.1% compared with 6.7% of net sales last year. A 37% tax rate was applied in the 2008 second quarter compared with 39.9% last year. Our balance sheet remained solid at quarter end as long term debt to capital ratio was 38%, up slightly from the end of the first quarter. The company’s cash position and existing credit facility provide sufficient liquidity with approximately $77 million available for borrowing at quarter end. Capital spending through the first half of 2008 was $14.4 million compared with $13.1 million last year. Full year spending of approximately $50 million is expected in 2008 with the $31 million rebuilding of a toweling machine at our Middletown mill and a $15 million fiber handling and stock blending project at our Brokaw facility accounting for approximately $28 million of this total. We repurchased 480,000 shares during the second quarter at a cost of $4 million. Since reactivating our buyback program in 2005, we have reacquired 3.2 million shares at a cost of $32.8 million. Approximately 2 million shares remain in an earlier Board authorization and we plan to significantly reduce or eliminate share repurchases over the next several quarters as we fund the Middletown and Brokaw capital projects. In the second quarter, we sold approximately 900 acres of timberland for an after-tax gain of $800,000. Since announcing our sales program in 2005, we have sold approximately 22,500 acres of timberland for an after-tax gain of more then $20 million. Although the pace of sales has slowed due to economic conditions, we expect to sell the 19,500 acres remaining in our program over the next two years. I'll now return the call to Tom to discuss our third quarter outlook.
Tom Howatt: As we begin the third quarter, we see little reason to expect a near-term improvement in the domestic economy. Demand characteristics remain generally difficult and escalating input costs, show a little sign of easing. At the same time, our focus on strategic markets coupled with actions taken to address underperforming areas of the business are paying dividends. We have achieved the early objectives of our Printing & Writing recovery plan, mix improvement is gaining momentum on Specialty Products and Towel & Tissue continues to produce above market growth to the strength of its value added product initiatives. As a result, we expect third quarter earnings to substantially improve over second quarter results and be in the range of $0.06 to $0.08 per share excluding timberland sales gains and facility closure charges. We would be please to answer any questions at this time.
Operator: (Operator Instructions) And our first question is from line of Mark Wilde from Deutsche Bank. Please go ahead.
Mark Wilde: Good morning.
Tom Howatt: Good morning, Mark
Scott Doescher: Good morning, Mark
Mark Wilde: Is it possible to get a sense of what those two mill outages and Printing and Writing would have cost you in the quarter?
Scott Doescher: Yes, Mark, this is Scott. And if you take a look at the impact as compared to first quarter it approaches $2 million.
Mark Wilde: So, without that you would have been, presumably you'd been EBIDTA positive in Printing and Writing, is that it?
Scott Doescher: Yes, that's a fair statement.
Mark Wilde: Yeah, okay, alright. And can you just, when you talk about the profit improvement plan and you want to get the cost-of-capital returns by the end of '09. I think one of the key questions for a lot of shareholders is, when you do that is that a plan, which has you sustainably it cost-of-capital returns going forward in the business, because it’s really been a business is underperformed here for several years?
Tom Howatt: Well, Mark, I’d say that's certainly our expectation. And I think if you take a look at the improvements is occurring at that business and presuming we would be able to achieve that. We’ve in fact would have been able to accomplish it during perhaps in the most difficult of circumstances imaginable with energy costs at unprecedented levels, even since the recovery plan announcement last October, natural gas, which impact this business unit has gone up dramatically. I think when you look at the combination of declining marketplace in the current year coupled with those energy costs, those types of headwinds, I think being able to achieve the result we've targeted at this point in time would suggest that we have a solid business model at this point. Ultimately, I think what's important though, is to be able to continue to grow at the premium side of the business. That includes sustaining a solid position with the merchant distribution community and commercial print markets coupled with further success in some of the new channels that we are focusing on such as [end leaf]; scrap booking and various other similar type markets. So, I think a way of gauging our progress and the sustainability, this is going to be our ability to penetrate those markets and drive that premium paper growth.
Mark Wilde: Okay. And Dan just also on Printing and Writing, I noticed that the industry statistics for June in uncoated free sheet were quite a bit better than we haven’t seen for last few months. Have you seen any real change in market trends that would tie-up with that?
Dan Trettin: Mark, this is Dan. Our volume is really been at expectation or maybe better than expectations, really in the months of June and July. So, yes, I think that the performance has been better than maybe what has been earlier than year.
Mark Wilde: Okay. And then just turning over to Specialty, I noticed you've mentioned in the release that you've taken some downtime at Otis and I wondered if you could give us a little color on that. And then maybe also just give us a sense of kind of the specific types of products out of Specialty that really have been hit hardest. I'm assuming part of this is some of the Specialty tape products and things?
Dan Trettin: Yes, and let me take them in the order that you described them. We did take some market related downtime at the Otis facility in the second quarter, that amount to approximately 2500 tons of capacity for the period. And quite frankly what we are simply doing is matching up the capacity, that facility with the demand for core products. The cost structure that facility is relatively high, its fuel oil hired. So, we were really not in a position of considering what I characterize is more commodity oriented fill-type grades. So, we have really controlled capacity to meet demand in core markets of that facility. With respect to the grades that are being most significantly impacted by the economic downturn. Clearly both of our largest markets, release liner and tape are under the rest during this period. As you know, we have perhaps the emphasized release liner market in favor of food service and food packaging grade, so we are seeing a decline in that market in part due to that reason, but there is still weakness in those markets. Perhaps more significantly though is the weakness in tape markets and we saw this is the time with last economic downturn at the beginning of this decade, where this Specialty tape grades it carried a highest margins in fact declined quite significantly and that relates to the industrial economy, weakness in the automotive sector as well as than other grades within Specialty that are tied to housing and other related construction markets.
Mark Wilde: Okay. And then Tom, if we could on Specialty that the guys at Boise had put in that on that machine conversion over into release liner just recently, have you seen much impact from that in your business. I know you planned a slightly different chunk of the market?
Tom Howatt: Yes, and most certainly that capacity has shown up in the more commoditized segments of the release liner market. And in fact, that's in part the reason for our strategy to move away from those more commoditized segments of the release liner markets, where there is limited price leverage despite the input cost increases and again refocusing that capacity on food service and food packaging grades.
Mark Wilde: Okay, very good. Thanks.
Scott Doescher: Thanks Mark.
Operator: And next we go to line of Jonathan Lichter from Sidoti & Company. Please go ahead.
Jonathan Lichter: Good morning, guys.
Tom Howatt: Good morning, Jonathan.
Scott Doescher: Good morning, Jonathan.
Jonathan Lichter: Was there any growth in product that you still sold there in Q2?
Tom Howatt: Yes, there would been product that we had in our warehouse that would have been part of core stock business, Jonathan.
Jonathan Lichter: Do you have any idea how much in terms of tonnage or any other metric?
Tom Howatt: No. I really don’t know how much of that specifically was grouped in product.
Jonathan Lichter: Okay. And then on the Towel and Tissue side, the tonnage gain is there, is that new products that you're selling or are you gaining share?
Scott Doescher: Right, I think it’s fair to say that there is a modest share gain associated with that 3% year-to-date volume increase, given that the fact that the market is relatively flat. We continue to have good success with new product introductions, but I’d say the magnitude of that volume gain over the first half of that year would suggest there is some slight share gain.
Jonathan Lichter: Okay. And how confident are you that the August price, increase in Specialty Products will be enough to get to breakeven or profitability in the later half of the year?
Scott Doescher: There is a rather substantial as you might imagine, cost push in the industry that’s I think causing many competitors to look for ways to move price. So, I think that there is fairly broad support, quite frankly across all three of our businesses at this time for improved pricing. Based on our early read of the situation and the discussions we had with customers so far, we are quite confident of the August price increase and the fact that, we will have a profitable third quarter in Specialty Products.
Jonathan Lichter: And then finally just, when could be the share repurchases start up again? Would it be after you completed the CapEx?
Tom Howatt: Yes, maybe I’ll comment first and then Scott can perhaps add further comment. But as you know, when we have talked about use of cash on long-term basis, we have always said that our focus is on profitably growing the corporation and that’s really our number one priority and in recent times absent and lack of good investment alternatives, we have look to return value to shareholders through that share repurchase plan. On a more near-term basis, we have a couple of very sound capital projects that we are focused on, whether there will be additional capital projects identified and approved, I think really is uncertain at this point in time. So, I think over the short-term you’d see us likely suspending that repurchase program. Scott anything further or?
Scott Doescher: No. I think you have covered at well, Tom. What I would also note Jonathan is that, over the last three years, we have spent better than $32 million on that share buyback program and we’ve really done that without increasing the leverage on our balance sheet. So, as Tom mentioned our focus now and our priority always has been the profitable growth of our businesses and our step away from the repurchase program in the near-term it just a reflection of that priority.
Jonathan Lichter: Okay, thank you.
Operator: (Operator Instructions) And we have a follow-up from Mark Wilde. Please go ahead.
Mark Wilde: Yes, Scott I wonder if you can help us understand the carryover of so many growth and charges into the second quarter. I know it was really close I think at the end of last year?
Scott Doescher: Yes, Mark, that’s a very good question. What we did see is operations at the mill in terms of the paper machines in December of last year. But we continue to operate certain equipment as we supported distribution from that facility. So, there were asset costs that remained and continued into 2008, Mark, and those went down during the course of the first and the second quarter. And as a result, as part of our guidance and as part of our footnotes you'll see that we just expect about $2 million, $2.1 million of additional closure costs through the balance of 2008.
Mark Wilde: Okay. Very good, thanks.
Operator: And gentlemen we have no further questions at this time. You may continue.
Tom Howatt: As we begin the third quarter, we are confident that our focus on strategic markets and product innovation, and our disciplined approach to operations, has positioned us for solid recovery over time. We look forward to reporting our continuing progress against the goals we have established. We appreciate your taking part in today's discussion and your interest in Wausau Paper. We plan to release third quarter 2008 results on Monday, October 27th. Our next scheduled conference call is slated for 11:00 a.m. Eastern Time on Tuesday, October 28th. Thank you for your participation.
Operator: Ladies and gentlemen this conference is available for replay after 12:00 p.m. Central Time today through August 5th at midnight. You may access the AT&T replay service at any time by dialing 1800-475-6701 and enter the access code of 930808. Once again that number is 1800-475-6701 with the access code of 930808 and it is available after 12:00 p.m. Central Time today through August 5th at midnight. That does conclude your conference for today. Thank you for your participation and for using AT&T Executive Teleconference. You may now disconnect.